Operator: Good day, and thank you for standing by. Welcome to the InnovAge Third Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Ryan Kubota, Director of Investor Relations. Please go ahead.
Ryan Kubota : Thank you, operator. Good afternoon, and thank you all for joining the InnovAge 2025 Fiscal third quarter earnings call. With me today is Patrick Blair, CEO; and Ben Adams, CFO. Michael Scarbrough, President and COO, will also be joining the Q&A portion of the call. Today, after the market closed, we issued an earnings press release containing detailed information on our fiscal third quarter results. You may access the release on the Investor Relations section of our company website, innovage.com. For those listening to the rebroadcast of this call, we remind you that the remarks made herein are as of today, Tuesday, May 6, 2025, and have not been updated subsequent to this call. During our call, we will refer to certain non-GAAP measures. A reconciliation of these measures to the most directly comparable GAAP measures can be found in our earnings press release posted on our website. We may also make statements that are considered forward-looking, including those related to our 2025 fiscal year projections and guidance, future growth prospects and growth strategy, our clinical and operational value initiatives, Medicare rate increases, census headwinds, the status of current and future regulatory actions and other expectations. Listeners are cautioned that all of our forward-looking statements involve certain assumptions and are inherently subject to risks and uncertainties that can cause our actual results to differ materially from our current expectations. We advise listeners to review the risk factors discussed in our annual report on Form 10-K for fiscal year 2024 and any subsequent reports filed with the SEC, including our most recently quarterly report on Form 10-Q. After the completion of our prepared remarks, we will open the call for questions. I will now turn the call over to our CEO, Patrick Blair. Patrick?
Patrick Blair : Thank you, Ryan. Good afternoon, everyone. I'll begin by expressing my appreciation to our colleagues, our participants and their families, our government partners and the investment community, each of whom plays a vital role in supporting InnovAge's mission. We delivered third quarter results that met our expectations, and we are reaffirming our fiscal 2025 earnings guidance. Behind the numbers is a company operating with discipline, focus and growing confidence. In a health care environment clouded by policy uncertainty, we know what we need to do and we're doing it, steadily and consistently. That focus is translating into meaningful operational gains and financial improvement. InnovAge cares for the nation's most vulnerable seniors, individuals whose needs don't ebb and flow with economic cycles or shifting political priorities. Their care isn't optional. And as federal and state programs face growing scrutiny, we're not just participating in Medicare and Medicaid, we're helping make them stronger. We continue to see rising demand for care models that allow seniors to remain safely at home, and we believe PACE stands out as a proven, high-value solution for a population with the most complex needs. This quarter, we've stepped up our engagement with both state and federal policymakers to make clear PACE works for seniors, for the system, and for taxpayers. What sets InnovAge apart is who we serve as well as how we deliver and coordinate care. Turning to our third quarter financials. We reported revenue of $218.1 million, an approximate 13% increase on a year-over-year basis. Center-level contribution was $40.7 million, representing an 18.7% margin and an improvement of approximately 110 basis points year-over-year. Adjusted EBITDA was $10.8 million or a 4.9% margin, which represents an improvement of more than 3.5 times over third quarter 2024 adjusted EBITDA of $3 million. Census grew to approximately 7,530 participants, an approximate 10% annual increase. These results reflect continued strength in top line growth, disciplined cost management and effective medical expense control. We're especially pleased with this progress given that the quarter coincided with Medicare annual enrollment, a period that intensifies competition across the senior care landscape. Despite these seasonal dynamics, we continue to build momentum. As we shared last quarter, InnovAge has shifted from operational stabilization to enterprise transformation, and this quarter marks early progress on that journey. The transformation we're undertaking is more ambitious and far reaching than the improvement initiatives of the three previous years. It's a comprehensive effort to reimagine how we operate, how we create value and how we deliver on our mission. Over the past 90 days, we've launched numerous cross-functional work streams focused on operational excellence and greater organizational efficiency. These initiatives are designed to not only improve how we serve participants today, but also to build the kind of scalable, tech-enabled platform that will allow us to grow sustainably, differentiate on quality and operate efficiently. We are methodical in our approach, clear-eyed about the opportunity and confident in our belief that the foundation we have laid will position us to drive meaningful performance and strong results in the quarter ahead and in fiscal 2026. Organically, we continued to grow this quarter with census rising to approximately 7,530 participants, representing more than 10% year-over-year growth. While sequential growth was modest, as expected, due to seasonal headwinds during Medicare's Annual Enrollment Period or AEP, we're pleased with the results, which reflect both our proactive strategy and disciplined execution. We've previously noted the competitive dynamic PACE faces during AEP, particularly for Medicare Advantage Special Needs Plans that offer cash-equivalent supplemental benefits. This year, we took early and targeted action to educate both existing and prospective participants about the broader value proposition PACE offers from comprehensive care to wraparound social support. We believe these efforts were effective in mitigating churn and reinforcing our differentiation in the market. In parallel, we also delivered on the commitment we made last quarter to work with our state partners and address state-driven enrollment processing delays, particularly in California. We're pleased to report that the backlog is returning to normalized levels, reducing the potential for payment variability and bad debt exposure. We appreciate the state's collaboration in resolving these issues and we will continue to actively manage these relationships moving forward. Looking ahead, we remain focused on driving sustainable growth across a balanced geographic footprint. This disciplined approach will remain a top priority in the quarters to come. This quarter, the strength of our integrated center-based care model was on full display as many health care organizations faced financial pressure from higher-than-expected medical costs tied to seasonal illness, we've been able to maintain strong cost discipline while continuing to deliver quality outcomes for our participants. Despite what many are calling a quad-demic, flu, COVID, RSV and Norovirus, we kept external provider costs essentially flat quarter-over-quarter at $108 million. In fact, we improved on a per participant basis with PMPM spending declining from $4,857 in Q2 to $4,786 in Q3. A key reason for this performance is our proactive clinical model. Since our participants visit our centers regularly and receive personalized wraparound care, we're in a better position to keep them healthy and engaged. Our flu vaccination rate this fiscal year is 77%, well above the national average of 47% for seniors. This is not just a number. It's a reflection of our hands-on approach with each participant and how our teams are able to act early to help prevent small issues from becoming costly ones. While other managed care organizations have flagged rising utilization as a headwind, our differentiated experience this quarter reinforces the value of our tightly integrated care model in managing medical trend volatility. This ability to manage medical cost and quality simultaneously is exactly the kind of operational discipline we're continuing to instill across the organization. As we say internally, our employees have an owner's mindset and a caregiver's heart. Further, we continue to focus on areas of potential improvement from standardization across centers to increased rigor in performance management as well as the process through which we identify and prioritize new value drivers. Our President and COO, Michael Scarbrough, has jumped right in and is leading these efforts. We're pleased to see these improvements beginning to show up in our internal operational and financial metrics. As you'll recall, we track our operational performance using a five-pillar framework; employee engagement, participant satisfaction, quality, compliance and financial results. This quarter, we saw sequential improvement in nearly every pillar with especially meaningful gains in employee sentiment and service level consistency. Our teams are energized, our focus is sharp and we're executing with greater precision every day. Regarding our leadership team, as referenced in our press release, Dr. Rich Feifer, InnovAge's Chief Medical Officer, has left the organization to pursue opportunities outside the organization. We have a transition plan in place to ensure continuity in leadership and clinical oversight. We thank him for his meaningful contributions over the last two and half years, and we wish him well in his future pursuits. We have also made strategic progress on our pharmacy initiative. Last quarter, we announced the acquisition of a pharmacy in Colorado to bring key capabilities in-house. I'm pleased to report that the transition has been completed, and we successfully migrated almost all of our pharmacy distribution and management to the new organization. This initiative was driven by our belief that greater control over pharmaceutical fulfillment will allow us to improve medication adherence, enhance participant outcomes, reduce costs and simplify logistics. While it's still early, we have strong confidence in this decision, and we're seeing tangible benefits. We believe there's a long-term value creation opportunity by further integrating pharmacy services into our clinical model. Looking ahead, our transformation efforts remain anchored in cost discipline, operational excellence and our commitment to high-quality care. We're continuing to explore how best to balance in-sourcing and outsourcing to maximize the quality and efficiency across the organization. Ultimately, our vision is to build a best-in-class, scalable PACE platform, one that not only delivers consistent, high-quality care for today's participants, but also positions us as the partner of choice for future growth and strategic expansion. In an uncertain policy environment, our model can offer a level of resilience and operational predictability that we believe will distinguish InnovAge in the quarters and years ahead. In summary, we're proud of the steady progress we've made through the first three quarters of the year, and we're confident in the road ahead. Each quarter, we're executing more consistently, uncovering new opportunities to improve care, reduce cost and scale smarter. Our model continues to prove its strength, especially in volatile environments, because it's built on proactive, personalized care and a disciplined operating foundation. In the face of policy uncertainty, our conviction in the long-term value of the PACE model remains strong. We believe InnovAge is well positioned to thrive in this space. Our operational rigor is deepening, our teams are energized and our strategy is coming to life in tangible ways from clinical performance to cost control to targeted investments like our pharmacy acquisition. This is more than incremental improvement, it's real transformation. We are working to build a next-generation PACE platform, one that delivers better outcomes for participants, meaningful savings for the health care system and long-term value for our shareholders. We're focused, we're aligned, and we're just getting started. With that, I'll turn it over to Ben to walk through our financial performance for the quarter.
Ben Adams : Thank you, Patrick. Today, I will provide some highlights from our third quarter fiscal year 2025 financial performance and insight into some of the trends we are seeing in the current quarter. Starting with census. We served approximately 7,530 participants across 20 centers as of March 31, 2025, which represents annual growth of 10.4% compared to the third quarter of fiscal year 2024 and sequential growth of 0.7%. We reported 22,550 member months in the third quarter, an increase of approximately 10.7% compared to the third quarter of fiscal year 2024 and an increase of approximately 1.6% over the second quarter. Total revenues of $218.1 million increased 13% compared to $193.1 million in the third quarter of fiscal year 2024, driven by an increase in member months and capitation rates. The increase in member months was primarily due to growth in our existing California and Colorado centers, and to a lesser extent, due to the addition of de novo centers in Florida and the acquired center from Concerto. The increase in capitation rates was primarily due to an increase in Medicaid and Medicare capitation rates, partially offset by a portion of what was recorded as bad debt in previous years, which is now recorded as revenue reserve and Medicare risk score true-up accrual timing. Compared to the second quarter of fiscal year 2025, total revenues increased 4.4% due to an increase in capitation rates and member months. The increase in capitation rates was driven by annual rate increases in California and Pennsylvania, partially offset by revenue reserve and an annual Medicare rate increase, all effective January 1, 2025. We incurred $107.9 million of external provider costs during the third quarter of fiscal year 2025, an increase of 7.9% compared to the third quarter of fiscal year 2024. The increase was driven by an increase in member months, partially offset by a decrease in cost per participant. The decrease in cost per participant was primarily driven by a decrease in assisted living, permanent nursing facility and short-stay skilled nursing facility utilization, a decrease in external hospice care associated with the transition of this function to internal clinical resources and a decrease in pharmacy expense associated with higher rebates and the transition to in-house pharmacy services. This decrease was partially offset by an increase in inpatient unit cost, and an annual increase in assisted living and permanent nursing facility unit costs. Compared to the second quarter, external provider costs were essentially flat. This was driven by an increase in member months, which was offset by a decrease in cost per participant. The decrease in cost per participant was primarily due to lower pharmacy expenses associated with higher rebates and the transition to in-house pharmacy services and a decrease in assisted living and permanent nursing facility utilization, partially offset by a seasonal increase in inpatient utilization and unit costs. Cost of care, excluding depreciation and amortization, was $69.5 million, an increase of 17.6% compared to the third quarter of fiscal year 2024. The increase was due to an increase in member months coupled with an increase in cost per participant. The increase in expense was primarily driven by: higher salaries, wages and benefits associated with increased headcount and higher wage rates; an increase in contract provider expenses in California associated with growth; third-party fees and shipping costs associated with in-house pharmacy services; and fleet costs, inclusive of contract transportation. Cost of care, excluding depreciation and amortization, increased 8.5% compared to the second quarter. The increase was due to an increase in cost per participant, coupled with an increase in member months. The increase in cost per participant was primarily driven by in-house pharmacy third-party fees and shipping costs, an increase in salaries, wages and benefits, primarily associated with the annual reset of employee benefits and taxes and fleet costs, including contract transportation. Center-level contribution margin, which we define as total revenues less external provider costs and cost of care, excluding depreciation and amortization, which includes all medical and pharmacy costs, was $40.7 million for the quarter compared to $37.1 million for the second quarter of fiscal year 2025. As a percentage of revenue, center level contribution margin of 18.7% increased by approximately 100 basis points in the quarter compared to 17.7% in the second quarter of fiscal year 2025. Sales and marketing expenses of approximately $6.9 million decreased 3.6% compared to the third quarter of fiscal year 2024, primarily due to lower marketing expense, partially offset by increased headcount to support growth. Sales and marketing expenses decreased by approximately 10.2% compared to the second quarter of 2025, primarily due to lower marketing expense as a result of increased media investment and campaign activity in the second quarter. Corporate, general and administrative expenses of $38.6 million increased 40.1% compared to the third quarter of fiscal year 2024. The increase was primarily due to the accrual of $10.7 million with respect to the anticipated settlement of a previously disclosed stockholder lawsuit recorded during the quarter. The remaining increase in corporate, general and administrative expenses of approximately $400,000 was primarily due to an increase in employee compensation and benefits as a result of greater headcount and wage rates to support compliance and bolster organizational capabilities, and fees associated with claims payment integrity audits. These increases were partially offset by a decrease in software license and recruiting fees and a reduction in insurance, consulting and contract service expenses. Corporate, general and administrative expenses increased by 37.3% or $10.5 million compared to the second quarter. The increase was due to the accrual with respect to the anticipated settlement of the stockholder lawsuit. Net loss was $11.1 million compared to net loss of $6.2 million in the third quarter of fiscal year 2024. We reported a net loss per share of $0.08 on both a basic and diluted basis, and our weighted average share count was approximately 135.2 million shares for the quarter on both a basic and fully diluted basis. Adjusted EBITDA was $10.8 million for the quarter compared to $3 million in the third quarter of fiscal year 2024 and $5.9 million in the second quarter of fiscal year 2025. Our adjusted EBITDA margin was 4.9% for the third quarter compared to 1.5% in the third quarter of fiscal year 2024 and 2.8% in the second quarter of fiscal year 2025. We do not add back losses incurred with our de novo centers in the calculation of adjusted EBITDA. De novo center losses are defined as net losses related to preopening and start-up ramp through the first 24 months of de novo operations. For the third quarter, de novo losses were $3.5 million and are primarily related to our Bakersfield and Crenshaw centers acquired from Concerto in fiscal year 2024 and our Tampa and Orlando centers in Florida. This compares to $4.1 million of de novo losses in the third quarter of fiscal year 2024 and $4 million of de novo losses in the second quarter of fiscal year 2025. Turning to our balance sheet. We ended the quarter with $60.5 million in cash and cash equivalents, plus $41.3 million in short-term investments. We had $77.3 million in total debt on the balance sheet, representing debt under our senior secured term loan, convertible term loan and finance leases. For the third quarter, we recorded positive cash flow from operations of $24.6 million and had $2.9 million of capital expenditures. We repurchased approximately 315,000 shares of common stock for an aggregate of approximately $1.1 million under the company's share repurchase program during the quarter. We are reaffirming our fiscal year 2025 guidance, which we laid out back in September. Based on information as of today, we expect our ending census for fiscal year 2025 to be between 7,300 and 7,750 participants and member months to be in the range of 86,000 to 89,000. We are projecting total revenue in the range of $815 million to $865 million and adjusted EBITDA in the range of $24 million to $31 million and we anticipate de novo losses for fiscal 2025 will be in the $18 million to $20 million range. In closing, we are pleased with our results and with the company's performance to date. We remain focused on day-to-day operational execution and believe that the comprehensive, personalized model of care PACE requires remains a proven high-value solution for seniors with complex care needs. We look forward to providing an update on our full year results during our next earnings call in September. Operator that concludes our prepared remarks. Please open the call for questions.
Operator: Thank you. At this time, we’ll conduct the question-and-answer session. [Operator Instructions] Our first question comes from the line of Benjamin Rossi of JPMorgan. Your line is now open.
Benjamin Rossi : Hey, thanks for questions, here. So, on initial 2026 guidance, I know it's early here, but just as you're putting together a guide, can you just walk us through how to think about Medicare and Medicaid rate development over the course of the calendar year? I believe last quarter, you mentioned the favorable rates in the mid-single-digits to high-single-digits range coming in through California and Pennsylvania. Just curious if those requisite catch-ups are coming through on Medicaid rates for those members for the remainder of the year?
Patrick Blair : Sure. Thanks. Ben, I'm going to kick that over to you.
Ben Adams : Yeah, sure. I guess what I would say is, it is early, obviously, for '26. We're just going through our budgeting process right now. I think what we're seeing is, I expect we're going to have reasonable Medicare rates going into 2026. And on a state basis, I would say that we also, at this point, based on what we know about the states that set their rates earlier in the year, sort of for July 1, we think they're looking okay. In some cases, we've got some indications about headline numbers, but we don't really know what the policy changes are going to be. So we haven't yet been able to understand what the full net impact is going to be. There are other states like California, which are important states to us, which don't set their rates until later in the year. And for those ones, we don't have a lot of visibility right now. And obviously, with some of the changes in play in Washington, it's probably going to be a little bit of a while before we do. So, I guess what I would say is, Medicare, we think will be okay. What we've seen so far on the Medicaid rates may be okay, but there's obviously a lot going on in Washington, so it's very hard to predict at this point.
Benjamin Rossi : Got it. Appreciate the details there. And then, just as a follow-up on pharmacy services, you mentioned integrating some of those services in your clinical model. Just thinking about pharmacy spend on your member base with the Part D out-of-pocket maximum now down to $2,000, and now with the first calendar quarter under our belt, did you notice any changes in pharmacy utilization trend across your member base between last quarter and this most recent quarter?
Patrick Blair : This is Patrick. No, we haven't noticed any changes in trend. And I would just remind you that out-of-pocket costs and things of that nature that are hallmarks of the MA Part D program really don't apply to us. We've got kind of a different reimbursement model. We still follow a Part D bid process, but the mechanics of our revenue and costs and how they play through ultimately in our PMPM payments are different than Medicare Advantage and out-of-pocket costs are zero.
Benjamin Rossi : Great. Thanks for clarification.
Operator: One moment for our next question. Our next question comes from the line of Jared Haase of William Blair & Company. Your line is now open.
Jared Haase : Hey, everyone. Good afternoon. Congrats on a nice result here. Patrick, appreciate your comments about stepping up the engagement and advocacy efforts with regulators and policymakers to sort of communicate the value of PACE. Would love to hear a little bit more just about the nature of those conversations, how they've been going? And I guess really the main question is, do you feel like the value of PACE is well understood as you are kind of having that dialogue with people?
Patrick Blair : Yeah. Thanks for the question. It's a great question. Yeah, we really have stepped up our efforts to engage in direct discussions, not only with state regulators and policymakers, but also at the federal level. And we have additional engagements and meetings planned here over the next several months. I would say you're correct in that the questions we most commonly get about PACE are related to, why isn't it bigger? What would it take in order to allow this program to serve more seniors? I think underlying that initial kind of set of questions is a real interest in the populations we serve. I think people certainly understand and are beginning to understand, I think, even more broadly that we serve a very frail and elderly population. And I'm not sure all policymakers really understood that. When you think about Medicaid, it covers a lot of different populations, and we're on the end of that spectrum. And so I think we're getting a lot of questions about what are some changes that could be made that could help PACE serve more individuals. And we're getting a lot of interest, I think, in sort of what we do. Clearly, we're following the daily dynamics that exist on a regulatory and policy front, and it's difficult for us to sort of form a point of view. But when we think about the risks in our business, I think we think about direct risk and indirect risk. On the direct side, it's really a question that maybe other organizations face, which is, are there going to be changes to who's eligible for services? And of course, anything that could directly impact who's eligible for PACE and ultimately our growth in our census, we can just kind of consider that a direct risk. We're not hearing or seeing anything to suggest that PACE is a target of reductions of any sort. I think where we're hearing sort of most of the rhetoric, and I'm sure you do as well is things that could be more of an indirect risk. So whether it was an FMAP reduction or changes to provider tax mechanics or block grants or work requirements, you name it, all of those things could put some pressure on state budgets. And anyone working with the state is then exposed to some indirect risks. But I think for us, we're kind of in the business of cyclical periods with states and we've got a great team that's created a business model that we feel like can adapt to whatever volatility we face. But we're very heartened by the fact that PACE is something that states and CMS are very interested in during this period of transition that's happening. That's a little more than you asked for, but certainly want you to have a perspective.
Jared Haase : No, that's great. I really appreciate all the color. And then maybe I'll ask a follow-up just on the guidance. And specifically, obviously reaffirming the outlook, and maybe I'll ask it on the census guide, leaving the low end intact. And I think you're already at the midpoint after the third quarter results. So, I'm wondering just how should we think about -- is that largely leaving conservatism here or anything else you would call out that we should be aware of for the last quarter of the year?
Patrick Blair : Yes, I'll flip that to --
Ben Adams : Yeah, I was going to jump in here, Patrick. I think what I'd say is, we guide on, I think four or five different metrics. And so I would think about that collectively as guidance. And the other thing I would say is, Q4 can sometimes be a little tricky for us because we get our risk score true-ups right at the end of the year. So, given the fact that there can be some variability associated with those and given that we're sort of approaching the low end of the range kind of three quarters of the way through the year on average, I think we're sort of happy with where guidance is, and we're going to let it stand for the rest of the year. But we will come out, obviously, with new guidance after the fiscal year end.
Jared Haase : Great. That’s helpful. Thanks, guys.
Operator: One moment for our next question. Our next question comes from the line of Matthew Gillmore of KeyBanc. Your line is now open.
Matthew Gillmore: Hey, thanks for the question. I wanted to ask about the decline in the external cost PMPMs. And I know there's probably a little bit of noise with some of the in-sourcing efforts, but it did seem like one area of real success was around lower utilization with assisted living and SNF, which is really great to see, and you could kind of argue that's the point of PACE. But I was curious if you could unpack that a little bit? Is that driven by any particular clinical initiatives that you've talked about in the past? And sort of any details on what you think is driving the lower utilization for ALFs and SNFs this quarter?
Patrick Blair : Well, a great question. And I think you answered some of the question yourself for sure. But as you recall, we've talked about this notion of CVIs or Clinical Value Initiatives, which is a portfolio of work that we undertake each year and each quarter. And I think as Ben has done a good job explaining in the past, some of those initiatives just take longer to bear fruit. There's a lot of work that goes upfront. Sometimes they require policy changes, sometimes they require system changes, sometimes they require business process changes. And so I think what we're starting to see now, and I'm really proud of all the work that's been happening is that, we've really laid a foundation over the last couple of years as it relates to medical expense management. And we've done a great job on our inpatient utilization. We've done, I think, an outstanding job on our short stay skilled nursing care. That's a very common service if someone gets discharged from an acute setting. And so we've built robust components around that. We've also built programs related to in-home nursing care for people at the highest risk. We've built after-hours nursing programs that allow us to address after-hours issues more effectively. And ultimately, that can help us with ER admissions, which then impacts inpatient admissions. So, in some ways, if you think about all the major categories of cost for us, we've built initiatives around those the last year plus. And now we're starting to see the benefits of those sort of flow through in terms of utilization. And then I think as we've mentioned before, we've got a -- this is something that we've got to continuously add new initiatives to the mix. And as we look forward to the more transformative stages of our growth and development, we've got a lot of great ideas to further deliver great quality, great outcomes and efficient care. But I'm going to ask our COO, Michael, just to maybe say a few words because he's spending a lot of time with our clinical teams in this area.
Michael Scarbrough : Yeah. So, Matthew, I would just add, in addition to everything Patrick said. As you think about our continued growth and as we continue to grow our census, it's also having a significant positive impact in just our overall mix of participants. And so, obviously, as we add new participants to our program, most of them are living independently at enrollment. And so fewer and fewer of them are in a nursing facility or in an ALF when they join InnovAge. And so, that's also having a significant impact in addition to all the other clinical programming that we're doing.
Matthew Gillmore: Great. That's very helpful. One of the initiatives, I believe I heard you talk about in prior calls was around provider network management. That was an area that was just of interest to me, and I presume that, that has to do with how you're contracting with third-party providers and perhaps how you're paying claims and making sure that the claims are valid. I was hoping you could sort of update us where you stand there and what you think the future state might look like with that initiative?
Patrick Blair : You bet. Michael, would you take that?
Michael Scarbrough : Yes, I'll take it. So, I would just say, absolutely, Matthew. Our contracting -- we contract with a network of providers, just like Medicare Advantage or managed Medicaid plans do. And so it's both how we contract, the rate that we pay, but also, to your point, how we administer the claims, conduct payment integrity efforts, utilization management, case management, care management activities, all of that work. And so, as a part of our transformation efforts, we continue to make efforts to and investments in our payer capabilities to continue to grow our capability in that space, the impact that we're having. And as we look ahead to fiscal year '26, we continue to make significant strides to improve in that area.
Matthew Gillmore: Got it. Appreciate the comments.
Operator: One moment for our next question. Our next question comes from the line of Jamie Perse of Goldman Sachs. Your line is now open.
Jamie Perse : Thanks, good afternoon. Can you talk about the new centers just for a moment? Obviously, you've had those open a couple of quarters now. The de novo losses have come down about $500,000 per quarter to $3.5 million in this quarter. Can you just speak to the enrollment trends and how you're progressing operationally? And then how should we think about the de novo losses over the next few quarters and time to profitability or at least break even on the new centers?
Patrick Blair : Yeah. I might let Ben comment on these de novo losses. But I'd say, overall, everything is tracking with our expectations. The census is sort of consistent with the expectations we set. Took us a little longer to get out of the gate and kind of get to ramming speed, but I feel like that we're starting to see nice momentum in all of our markets, both Florida and the Crenshaw market in L.A. Some variability on the cost side of the ledger. We've probably had some more transportation costs than we anticipated in Florida, as an example. So we've had to sort of manage through some sort of volatility on that front. But I'd say consistent with everything that we've laid out before and the teams are starting to come together become more integrated in the community. They're building referral sources and I think are doing a great job managing the care and delivering great quality. Orlando Health has been a great hospital partner. I think you know we're involved in a joint venture there. And they're doing a great job working closely with us to make sure seniors are getting the best possible care there in Orlando. So, I think it's a great example of the ability to bring up new centers and get them on the right track. And in case of Crenshaw, I think it's a great example of being able to find an opportunity to bring a center into the InnovAge family and quickly demonstrate that we can grow it and we're really pleased with that.
Ben Adams : Yeah. I'm not sure I have a whole lot to add to that. I think Patrick sort of encapsulated what's going on with the centers right now. I think that the trend you identified in de novo losses is probably a reasonable one to keep your eye on. And as we get through the end of the year, we'll have some updated guidance for the following year, and we'll put out some guidance around de novo losses as well.
Jamie Perse : Okay. And then just on cost of care, that stepped up about $5.5 million sequentially. Your revenue growth is 12% year-to-date. Cost of care is up 17%. So you're obviously investing in capacity both within new centers and more broadly operationally. But can you speak to some of the investments you're making? And at what point should we start to see maybe some leverage on the cost of care line?
Ben Adams : Yeah. I mean -- sorry, go ahead, Patrick.
Patrick Blair : Okay. Yeah, I'll get you started, Ben, maybe you can dive in. But as I mentioned, there's been a couple of programs that we've put in place over the last year. One, we've in-sourced a great deal of hospice care and there were investments that we made in order to do that. But I think that's reduced our end-of-life care liability from a cost perspective going forward. We also have the visiting nurses program, kind of the after-hours nursing program, the Comfort Care program. Those are also investments we made that we either weren't doing before or we're now in-sourcing services that we were subcontracting to someone else. And all of those things are starting to show up, I think, in our P&L, but there were costs associated with getting them off the ground. Ben, anything to add to that?
Ben Adams : Yeah. I mean, I think you hit all the big points there. I think a lot of it has to do with in-sourcing certain activities. So, if you actually were to go and sort of strip out some of the activities that we've taken or we've brought in-house and sort of looked at kind of the core trend in cost of care, I think you'd find it's actually in the low single digits. So I think what you've seen here is kind of a one-time step-up in costs from in-sourcing certain activities, and you'll see a more normalized growth rate going forward.
Patrick Blair : It's really a good question. I might just add one more thought there, because one of the things that we sometimes grapple with internally as we evaluate a business case for something is that we'll see the cost hit different components of the P&L. So, in this example, we're seeing the medical costs go down because of the impact we're having from the investments we're making, but we could be seeing the investment cost hit another portion of the P&L, maybe through cost of care, maybe through SG&A, but it's not all happening in the medical expense line item. And so that's sometimes you got to tease that out to really understand the full benefit.
Jamie Perse : Okay, that's helpful. And I'll take one more crack at the guidance question from earlier. Obviously, just with 1 quarter left, the EBITDA guidance midpoint would imply like $4.5 million in EBITDA. That would be the lowest performance of the year. Just to make sure we're clear on what the message is coming off the call, is there any reason why you'd be at the midpoint or low end of the range? Just any color on how we should think about the EBITDA guidance range in implied 4Q? Thank you.
Ben Adams : Yeah. I'm not going to give any sort of indication of how we're going to land versus guidance at this point other than to say we think the guidance is good guidance at this point. And again, not to -- I'm not trying to be coy about it, but when you do come into Q4 and you deal with some of these risk or true-up numbers, there tends to be a fair amount of variability in those. And so I think given the variability in those numbers and where we are relative to guidance, we're happy to let guidance stand where it is.
Jamie Perse : Got it. Thank you.
Operator: I'm showing no further questions at this time. Thank you for your participation in today's conference. This concludes the program. You may now disconnect.